Operator: Welcome to the Williams Partners and Access Midstream's Third Quarter Earnings Release Conference Call. (Operator Instructions). At this time for opening remarks and introductions, I would like to turn the call over to Mr. John Porter, Head of Investor Relations. Please go ahead, sir
John Porter: Thank you, Tina. Good morning and thank you for your interest in Williams, Williams Partners, and Access Midstream Partners. Yesterday afternoon, we released our financial results and posted several important items on each of these three company's websites. These items include yesterday's press releases and related investor materials including the slide deck that our President and CEO, Alan Armstrong will speak to you momentarily. Our CFO, Don Chappel is available to respond to questions and we also have the four leaders of Williams operating areas with us. Jim Scheel leads our Northeast area, Allison Bridges leads our west area, Rory Miller leads our Atlantic Gulf area, and John Dearborn leads NGL & Petchem services. We also have Mike Stice, Dave Shields and Bob Ferguson joining us from Access Midstream Partners. In our presentation materials you will find an important disclaimer related to forward-looking statements. This disclaimer is important and integral to all of our remarks and you should review it. Also included in our presentation materials are various non-GAAP measures that we’ve have reconciled to Generally Accepted Accounting Principles. Those reconciliation schedules appear at the back of the presentation materials. So with that, I will turn it over to Alan Armstrong.
Alan Armstrong: Great. Good morning and thank you, John. Thanks everybody for joining us today. As usual, we have got a lot going on as we continue to pursue this tremendous growth that our strategy continues to deliver. We’re coming off a quarter here that was in-line with our expectations, but much lower at WPZ due to Geismar's extended outage and a continued heavy capital investing period all as was expected. But certainly, we’re looking forward to a much better quarter coming here in the fourth quarter, as some of our major projects start to come online and we see some dramatic improvements in volumes in the Northeast. A major change is afoot as we combine both WPZ and Access into the large scale natural gas infrastructure MLP. And the team here at WPZ is very energized right now as we’re on the verge of a major $1 billion boost in our annual cash flows that we expect to come from three major projects Geismar, Gulfstar and the Keathley Canyon Connector all of which have reached the commissioning stage here in the fourth quarter. We also are very excited to see volumes and profits beginning to rapidly escalate in the northeast operating area as many projects have been commissioned here in October and provide a little more detail on that later. The Access team continues its great performance as we have all come to appreciate this team's ability to steadily grow its volumes and cash flows as it connects gas supplies in some of the most prolific basins in the U.S. And we also are continuing to see major potential Transco projects coming our way as a result of Transco's competitive advantages. These new prospective projects include the Appalachian Connector and the Diamond East projects, both are major new projects that connect the burgeoning supplies from the Marcellus and Utica directly to growing demand on Transco that is anxious to see the supplies coming their way as those markets strive to grow as well. And of course we continue to have a long stream of projects that are under construction that will keep this well identified fee based cash flows continuing to grow throughout our guidance period and beyond. The major changes that will be occurring within the new merged partnership are exciting in many ways. First, we will have the highest forecast distribution growth rate of any of the major MLPs. Second, our coverage will be above average for the same peer group with expected $1.1 billion of excess cash flow coverage through 2017 and the Access cash flows, along with our major new fee based projects continue to dramatically reduce exposure to commodity prices. The Access LP holders are about to see a 50% step up in distributions to $3.65 in 2015 versus the forecasted $2.42 per LP in 2014. So truly a very exciting time here as we merge these MLPs and really turn this into the MLP in the major integrated group and particularly one that is well-positioned as we have talked about before with its strategy that is so focused on natural gas. So there are many changes occurring as these major tailwinds form and this first big tranche of capital finally begins to bear fruit in a very game changing manner against the traditional WPZ assets. But what has not changed is our commitment to a strategy that we strongly believe will be the most enduring growth model amongst the infrastructure MLPs. We have worked in a very disciplined manner to have this strategy of connecting the very best natural gas supplies to the very best natural gas markets at the center of all of our portfolio and capital allocation decisions. So we continue to stick with the strategy that we are very proud of and we think has positioned us for great long-term growth. The strong and undeniable fundamentals of low-cost clean energy and the cheapest petrochemical feed-stocks in the world will prevail we believe and we’re seeing the demand pool beginning. We have continued to position ourselves in a way that will catch this very sustainable and fundamentally supported wave of volume growth and at the same time, help our customer base achieve their lofty goals of growth as well. We appreciate all the support and patience from our investor base as we’ve had some bumps and bruises along the way getting to this as we have pursued this very ambitious plan. And we’re thrilled that many of you are well-positioned to catch this next big wave of valuation growth at both WMB and at the partnership level. So now let me quickly point out a few things in the prepared slide deck here beginning on page 2. You can see here just an overview of what we will hit on today most of which I have touched on already, so let's move on to slide 3. On slide 3, as I’ve mentioned in the opening WPZ's DCF was low, but was in-line with our expectations. Major drivers of the lower DCF was a missed opportunity on Geismar of over $200 million. So that's the number if we would have been up and running that we predict here in the third quarter, and higher maintenance capital as expected and was forecasted for the quarter. So this is really the time of year that a lot of our maintenance capital gets done. As you know, we had lower than expected maintenance capital for the first half of the year and we started to catch up with that as we usually do during the third quarter. Also we had some outages in Canada, particularly from some Suncor outages and we also had a planned turnaround at our Redwater facility where we made a lot of the significant tie-ins for our CNRL Horizon project which lowered volumes there in our Canadian assets as well. Also we had slightly lower than last year adjusted segment profit plus DD&A was just off of last year. This was driven by lower NGL margins and this was really driven as the result of a loss of the keep-whole processing contract up at our Opal facility. And thankfully though, this was largely offset by about $36 million in higher fee based revenues in the quarter on our consolidated assets and operated assets. And at the same -- we got the same kind of very positive move in our equity investments in both Discovery and Laurel Mountain Midstream. You should really continue to expect a lot of great things coming from these equity investments across the board really here in the fourth quarter; Blue Racer Midstream is continuing to see great Utica volume growth. Our Discovery system gets the Keathley Canyon Connector started up and the Laurel Mountain Midstream benefits from our increased ownership which has now moved up to 69% versus 51% in the third quarter. Also as you can see on this slide, ACMP's adjusted DCF was up by an impressive 42%, driven by 20% higher fee based revenues and so this all combined for WMB, these Partnership holdings now produced a segment profit plus DD&A of $838 million which was 36% higher than the third quarter of 2013. So, really starting to see some great distributions out of PZ as always and now an increasing amount coming from Access. Moving on to slide 4, you can see some of the operational highlights here for ACMP and starting with a big milestone of 6 Bcf a day of gross gathering volumes which the team hit in September and also ACMP's 49% interest ownership in UEO continues to increase in importance. And this really well-placed infrastructure that’s referred to as UEO is serving the rich Utica volumes and the volumes continue to expand rapidly up there and now two new trains planned. One planned to start up later this year and one planned to start up at the end of next year. And also great work by our Access teams, getting the Bucking Horse plant started up in Niobrara. That’s planned for later this year and I'm really proud to see the way our Williams and Access teams are working together. As you know, we’ve very substantial processing operations at Williams in Wyoming and then very thankful to see our teams working so well together to help bring up the Bucking Horse plant up there to serve the Niobrara. So overall net volumes on ACMP are up 9%, and as you can see where the high performers are in this list that drove that growth with of course the Utica being the star of that. Moving on to slide 5, looking forward a little more now, and we expect to see the fruits of Williams' major capital projects really starting to kick in here in the fourth quarter of 2014 and in a very powerful way in 2015. In fact, these three projects alone are expected to produce nearly $1 billion in 2015 cash flows and to put this in perspective, these three projects should drive a 33% improvement over WPZ's expected segment profit plus DD&A for 2014 and during 2015. So huge driver coming from these three big projects, and we will also have an even larger impact on DCF because a lot of the financing of course the financing costs have been carried for a large portion of 2014 on these projects, as these have been very long dated capital projects. And these assets have had really very little -- they have had very little planned maintenance capital for 2015. So a huge driver of DCF in 2015 as well. We also have several other recent milestones and achievements listed. All of these would normally be big deals, but we have so many developments, it really is getting hard to give them all their due bandwidth, but just to provide some details on a few of these items. The Geismar rebuild and expansion project is complete, and we have begun to bring hydrocarbons into the plant this week, and start-up operations including the final dry-outs of the primary systems. And then once those dry-outs are completed, the actual cracking processes will be initiated later. I certainly want to just take a moment, and thank our team there at Geismar for their intense focus on doing this project safely. It has been a very large and complex project, and they have remained very focused on no matter how much the pressure is to remain safe, and keep that first and foremost and I'm thankful for both their leadership and management there at Geismar for keeping that front and center. On Gulfstar, we are complete with our work, and Hess is now running the spar. They announced yesterday that they plan to have first oil within the week, and this project team also achieved first quartile safety performance on that project. Tremendous effort, to bring so many different skill sets and capabilities together to get that project delivered, and we are very thankful to be getting to work with Hess and Chevron on delivery of this major asset as well. And then the Keathley Canyon connector has been fully hydro-tested, and is now in the dewatering mode. Anadarko will control the timing of this first production which they and we still expect later this quarter. Our Constitution project reached a major milestone last week, and this was the receipt of the final environmental impact statement for this project from the FERC and this gives the Commission the green light to approve the project as designed, and we are pushing for a November order from the Commission. And of course, they certainly understand how important it is to get this project up and moving, so that we can reduce some of the bottlenecks and constraints of getting gas supplies up into the New England states for the winter of 2015 and 2016. Our Transco team has just continued to knock it out of the park in the areas of business development and we had two very successful open seasons in the period, and we continue to string together both important base hits which we just continue to have a number of laterals and expansions off the systems and the occasional grand slam like the Atlantic Connector project that is significantly larger than even the massive Atlantic Sunrise project. And I will hit on that a little bit more in a minute. On slide 6, you can see the continuing list of projects that we continue to click off on the left. And on the right, potential projects are being added so quickly, it is really getting hard to keep this slide up to date. You will note that we had to move the Rockaway lateral into the first quarter of 2015 due to some construction environment difficulties that we face there. However, even more offsetting this, we expect to place portions of the Leidy Southeast and the Virginia Southside project into service earlier than planned. So, great job there of the team, continuing to be innovative in ways to bring some of those projects on earlier where the environment allows us to do so. We also expect to be able to move our Canadian PDH project into the firm category later this month. We will still have a few contingencies related to third parties on that, but we will have our feed study completed for PDH-1 and we will be going for final Board approval here in November. So, great progress being made on moving those projects along as well. On slide 7, we’re going to provide some detail now here on the really exciting Appalachian Connector project and we’re not disclosing the actual capital on this project at this point, but we do expect this to be at least 50% larger than our Atlantic Sunrise project, so very large scale project. It involves a major greenfield line that you can see coming out of the panhandle of West Virginia, the northern panhandle of West Virginia down into a connection there in Virginia and then a major expansion along the system to be able to move those supplies into the various markets both to the north and to the south. Actually all the way to station 65 which is zone 3 on Transco and of course, from station 65 you’ve access to both growing industrial markets as well as access to many of the expanding LNG facilities in the area. So really that is coming together. And that really helps us be the supplier for the LNG projects that are being developed along the coast as well on Transco. So the support from these shippers has really been tremendous, as this is one of the few projects that delivers gas to the actual markets. And so, this really gives an ability to a producer or supplier to really go get the highest price because they have so many options of where they can sell their gas and they can really go to the highest bidder for their gas by having so many multiple market options along the Transco system. Really this is a tremendous value proposition to have all these -- the direct access to all these growing markets on Transco, not just existing, but really growing markets and we also are excited to see the confidence that the producers behind our Ohio Valley Midstream system. And our investment in Blue Racer, the great confidence we are seeing from producers there in growing their volumes out on the system as well. And so that connection that we like to really stress about being able to connect the very best supplies, to the very best market outlets, this is just another great example of that. Of course, you saw that with Atlantic Sunrise coming out of the Susquehanna County area and now we’re able to basically do that in the same way, coming out of the southwestern Pennsylvania, West Virginia, and southeastern Ohio areas. So our gathering business really benefits from this because it would have the best market outlets out of the area. And of course, our market end customers get access to these great prolific upstream supplies. So really a win-win-win and really shows the strength of our strategy. Moving on to slide 8 here, really exciting drivers for getting the merged MLP into the very, very strong and offensive posture and getting our 2015 adjusted EBITDA of approximately $5 billion. As I mentioned earlier, a 50% move-up in the distribution for ACMP unit holders from the 2014 guidance and a 30% increase over the 2015 distribution guidance. So we will have the best-in-class distribution growth at 10% to 12% through 2017 and with a very strong coverage ratio at or above 1.1 and about $1.1 billion of excess cash flow through 2017 that we expect to generate off of this strong business growth. We also will enjoy strong investment grade credit ratings and very limited equity needs up against this current business plan, because our cash flows continue to grow, continue to expand our debt capacity very rapidly. So really excited about how we have got this merged MLP positioned. It is strong from a strategy standpoint. It is very strong from a capability standpoint, and now financially extremely well-positioned for the environment that we are in. Just to talk very quickly about a few of the synergies that we are seeing. One of the things we are really excited about is really looking for the very best capabilities exist between the two companies. One of the areas that we are really seizing on very quickly is Access' well-honed, modular compression design. And so we’re looking at that to be a major savings for Williams here, as we look to see the cost and the scale frankly, that we gain by having all of the compression installation that both parties do, and being able to really be the low-cost provider of getting in that the field, in a very quick way that serves our customers. So great capabilities there by Access, that Williams is very rapidly adopting. Likewise, up at the Bucking Horse plant as I mentioned earlier Williams of course has great strength in the operations of processing facilities and we’re very rapidly bringing those alongside Access and helping them get that plant up in a safe and reliable manner and then one other area that I think is really impressive for us is the Access North Victory system that lies just to the north and east of our OVM system is going to be the beneficiary of -- provided that the transaction goes through, of Southwestern Energy's acquisition of Marcellus acreage in that area. And we think that bodes very well in terms of having a new buyer in the area that is very excited about that acreage and who has got the capital to bring to that. And of course, that system ties into our OVM system, and ultimately then would have access into the great Appalachian Connector project. So great example of how we are stringing together the synergies of our assets up there. Moving on to slide 9, this is really impressive picture of valuation here at the new merged MLP. And so, what you have here is regression analysis between the distribution growth rate and so, we have got the merged MLP here marked at 11%, and then on the Y axis you see the current yield. And of course, this shows that on a regression analysis basis that the merged MLP should ultimately trade out at a sub 4% yield, even at that yield, on this line you would see a $94 unit price for the merged MLP. And frankly, we think given the coverage ratio which is just above the average for this group, the strong credit rating that we have and the tremendous strategy and clear line of growth. We think we actually ought to be trading below this line on the regression analysis. So really excited to see this valuation coming through and we think the market is waiting to see some of these things like Geismar and Gulfstar get done and those start to cash flow, and so we think we are just on the verge of realizing this kind of value at our MLP. Moving on to slide 10, a tremendous opportunity with Williams, we just couldn't be better positioned right now, very excited to have delivered a 32% raise in our WMB dividend and following that with a 15% dividend growth rate through 2017. So tremendous value that we’re able to deliver for our shareholders and I don't think anybody doubts the amount of growth that we have out in front of us. And I do think obviously, there has been concerns over our ability to execute and bring some of these major projects on-line and we’re just on the verge of passing that stage. And then we continue to have a number of very large scale projects going forward. Also very excited to see the very strong capabilities of Access and Williams coming together from a leadership perspective and from an operating capability standpoint, very solid alignment, I would tell you, between the values of both of these companies. And I want to take a moment, and thank Mike Stice for his tremendous leadership at building such a great organization with great values. And we’re just very thrilled to be able to working up alongside Access and taking some of the best ideas that they have to offer and bringing those in to Williams and as well, excited to have the new team there at Access all pulling on the same rope. So with that, we will turn it over to questions. Thank you.
Operator: (Operator Instructions). We will go to our first question with Shneur Gershuni with UBS.
Shneur Gershuni – UBS: Good to see the progress that you have made with respect to coming to an end and putting forward the Geismar project and in closing up the merger. I was wondering if we can sort of transition on some questions more on a go forward basis, with the merged ACMP/WPZ combination, you’ve sort of mentioned in the past a high percentage coming from revenue. When you think about the 2015 guidance can you share with us some of the sensitivities around NGLs and that margin you have baked in -- in terms of the low and the high-end of guidance in terms of how we should be thinking about the commodity environment?
Don Chappel: The combined MLP will be more than 80% fee based since all of the Access business is in fact fee based and much of it under cost to service or MVCs. There is really no direct commodity exposure there. So I think you can look solely at the Williams -- and if you look in our data back on slide 85 you can see the sensitivity of the price changes on commodities. Again I think we’re fairly diversified on the commodity front. It will represent less than 20% in 2015 and that percentage will likely continue to decrease as we grow the fee based business much more rapidly than the commodity side of the business.
Shneur Gershuni – UBS: And as a follow-up, I recognize the fact that you're expecting about a beds of cash flow coming in with some of the new projects slated to come on-line late this year. How do you think of your leverage funding for the next several years as you sort of think about the big capital projects and so forth? The expectation to fund it kind of on a 50:50 basis? Just wondering if you could give us a little color and how you think of your current leverage.
Alan Armstrong: We would expect the merged partnership to maintain its kind of mid-BBB investment. Somewhere around four times debt to EBITDA on an adjusted basis so I think that will be the guide post. We think the business plan that we put forth with the $5 billion of EBITDA and the 10% to 12% growth rate through our guidance period that ends in 2017 can be financed with a very modest amount of equity. Obviously we’ve many more opportunities in front of us. Alan highlighted a couple of major ones. I would point out that those are fairly long lead time items so something like the pipelines that Alan mentioned would kind of service dates the financing for those is really out principally in 2017 and 2018.
Shneur Gershuni – UBS: Finally on the Constitution Pipeline, if I saw correctly you have requested to get the final sign-off within the next 30 days or so. If it takes longer than 30 days, does that delay the project due to weather issues and so forth? And also I was wondering if you can comment about whether you think the length of pipeline will deviate much from the current plan.
Rory Miller: Well, the timeline right now as it sits is very tight. We’re hoping to get the FERC certificate on for Constitution Pipeline in November. If that happens, then we will be looking for notice of completion from the New York in December [ph] -- along that same timeline. It is a very tight schedule, but if we get the kind of responses that we are hoping for, and we think are possible, then we can still make the heating season of 2015-2016. We do have some major delays. If we have mullet tie month delays, then that heating season won't be possible. So there is a chance that we could get pushed beyond that but we are trying to be very clear with everyone involved I think the need for the gas is definitely there. We saw that with the polar vortex last heating season. And I think we’re just trying to get the message out to let people know what's at stake. It is going to take some cooperation but we think we've got a good shot at it.
Operator: And we will now go to Christine Cho with Barclays Capital.
Christine Cho – Barclays Capital: Regarding the Southwestern purchase of Chesapeake with Southwestern it is going to 11 rigs compared to Chesapeake's one. I know it's early days and the deal is not even done yet and we don't know where the rigs are going to go, but can you give us an idea of how much undedicated acreage is -- that subpoena for grabs overlaps your footprint? Then you kind of mentioned this in your prepared remarks, but given ACMP at one point was Chesapeake's MLP are there opportunities for you guys to process the gas that ACMP has the dedication for on the gathering side or is that already committed to other players? Can you just give some more color on your synergies there?
Alan Armstrong: Sure, Christine. We can provide you the detail you're looking for there today. I would just tell you that there is a very substantial amount of gas that is available for processing from Chesapeake and potentially now Southwestern. So, I would just tell you there is a lot of acreage there that needs processing, some gathering and processing services and I would just say that we are very well positioned for both of those 0.
Christine Cho – Barclays Capital: Okay, with the recent correction in the mark, we saw a number of deals get announced and obviously Access to capital markets is pretty key in this space. And just add a brief (indiscernible) that maybe non-investment grade MLPs might have trouble raising capital, and if we see some more of these big companies spinning out with mull till billion dollar backlogs with drop-downs. I would think some of these private equity players hoping to monetize their investment maybe the IPO might have trouble competing with something like that. Has sentiment of potential sellers changed from where you sit? Can you kind of give us an idea of what you’re seeing on the M&A front?
Alan Armstrong: I would say that it has varied. Obviously some of the smart money I would call it decided to take some risk off the table of that early and get out while the getting was good and I would say that sentiment is probably becoming more pronounced. I agree with the concern you raise and I do think that we will see some movement in that direction, because I don't think anybody wants to be left being the guy that was too greedy waiting for any more increase. I think people appreciate the market is pretty hot and so I do think we will continue to see a lot of assets coming out of the private equity sector into the market. And I think they will start to appreciate how much quality IPO there is that has some pretty major advantages over less substantial offerings.
Christine Cho – Barclays Capital: Okay, and then I guess kind of piggybacking off your response to that, I think you guys are now sitting on an option to enter into the Permian. Deal size isn't too big, multiple looks attractive, although you probably have to spend a couple hundred million to get there. You’ve the parent of a potential partner behind this system. However, you’ve previously said that you would like to be number one or number two in a basin. Are there any initial thoughts you can provide us, and is this an area that you would be interested in growing into?
Alan Armstrong: We’re not going to respond on exactly our position on that. We’re just not at liberty right now to discuss that. However, I would say that we have been looking at the Permian from a business development standpoint, particularly the Delaware basin for quite some time. From a Williams side, we've had a lot of producing customers that are customers elsewhere that have been interested in us providing services in the area where there is not much infrastructure and certainly we’re not interested in going into areas that are already well served, but I would tell you there is a lot of that basin that is not well served and we’ve been looking at it that and I would say we would like to enter it in a way that. One, it is well supported from a financial perspective and two that ultimately we get to a scale position that has competitive advantages and provided that we can accomplish both of those tasks, then yes we would be interested in entering the basin. But those are two pretty lofty goals in terms of making sure that the cash flows are well supported and that we’ve a clear line of sight on gaining scale and competitive advantage the way we usually enjoy in a basin.
Christine Cho – Barclays Capital: Okay, last question for me, appreciate all the color. One of the competing pipes for your Appalachian Connector project, you know recently announced it was moving forward at least to station 165. Is there room for both projects? Or do you think yours is different and off because it provides a clear route to station 65? And then when you also say it's 50% more than Atlantic sunrise, you mean 50% of what the CapEx is for the 100% interest or just your interest?
Don Chappel: On a gross basis, it's 50% more as well. So you can use either number because we said more than but even more than a gross amount. In terms of the advantages of that project, I think it is almost two different projects frankly because I will tell you the strength of the Appalachian Connector project is that it does not just get you to station 65, it allows you to go directly to those LBC interconnects, directly to the town borders, directly to those markets. And so rather than sitting at a pooling point and being stuck with gas that you have already paid a rate to get there. You don't really have any options but to sell it at that point, you can go to multiple marks and you can go cut deals with people who want to have growing supplies on their system. So I would just tell that you is the distinction. It is very major distinction and as to whether there is room for both, I would just say that I think our shippers are speaking for themselves -- can't really speak for the other project, but I would just say given the way the response we have gotten from the shippers that are interested in our project, that would tell me there is room for two, I guess if the other project has economic support as well.
Christine Cho – Barclays Capital: Is the shippers for you guys mostly producers?
Alan Armstrong: It's a mix, pretty substantial mix just like we have seen in our other big projects like this.
Operator: And we will now go to Abhi Rajnandan with Credit Suisse.
Abhi Rajnandan – Credit Suisse: Couple quick questions, in the northeast segment EBITDA was actually down sequentially in the third quarter. I believe there were some one-offs included in the results, but could you help us think about some of the factors preventing maybe a quicker ramp-up in the profits in the segment and how we should think about that trajectory looking ahead from 4Q and then into next year?
Jim Scheel: As we look at the third quarter this year, let's take a step back and talk a little bit about volumes. During the last earnings call we talked about the number of wells coming on line. We actually had eight wells delayed during the third quarter coming into the OVM system. That was obviously a disappointing issue for us, some producer issues. But we see those coming on-line pretty quickly, and we have won a site to 35 more wells coming on line over the course of this quarter, two of which are dry Utica wells. So as we look at our exit rate for the year for OVM, we are very excited about the opportunity to continue to see a very robust fourth quarter. That would be combined with some additional fee based revenue coming from all of the new assets that have come on-line. Obviously I have been disappointed by and the delay in bringing on the stabilization facilities as well as CXP 1, but we've had a lot of assets coming on-line, and just getting that all put together has been a pretty big issue, keeping that as safe and as efficient as possible has been our high priority. So those are coming on line as we speak. We've got commissioning activities coming on today that will also improve earnings coming into the fourth quarter. We've also seen pretty much the completion of a major expansion around the Susquehanna supply hub so volumes there have increased since the close of the third quarter by about 200 million a day and we are excited about the continued increase there. So we've got a great trajectory for future growth. Then when you combine that, one of the things you wanted to reconcile to was the third quarter. As we think about that, we had some kind of -- I won't call them extraordinary but we had some income from Cayman associated with the fire, and then one of the other changes that we have to be aware is with Laurel Mountain Midstream, we have a percentage of gas. Gas prices have been down for the third quarter and so we've seen a hit from that as well. So if we really look at earnings growth going forward, taking out those two things, we still see a nice improvement as we look forward to the fourth quarter and into 2015.
Abhi Rajnandan – Credit Suisse: Shifting gears to Geismar, could you give us some color on the ramp-up there over the next couple of months? When do you guys expect to kind of get up to commercial levels of production, and then when could we potentially see operating rates up in the 90s like the rest of the industry?
Don Chappel: From where we stand today, as you saw in our announcement, we've announced that construction is complete and we’re fully into the commissioning and start-up activities. These activities are largely focused on getting the plant dried out and oxygen freed and leak tested and rotating our major equipment in the plant in preparation for the startup. Sitting here today I would say November 15th, plus or minus a few days is where we should be for making first ethylene as is signaled by our announcement. Then as we look forward beyond that we are expecting a ramp-up, first, I would say what was the base plant rates in order to make certain that we get the entire machine lined out and make certain that we've got a good stable operating system at that point of operation and then shortly after that ramping it on up to the expanded capacity. The overall timeframe for getting that done from the day we start making first ethylene is going to be notionally around a month. It is going to be about four weeks but again we’re going to want to do this in a very disciplined way. We've brought some unbelievable operational discipline to the plant there in Geismar and the team is going about this startup in a very deliberate way and a very deliberate disciplined way. But I think that brings all the color you need to give a sense of how we are going to bring the plant back into operation.
Abhi Rajnandan – Credit Suisse: Last one from me coming back to the merger between the MLPs. So based on the previous iteration of the terms I think you guys have put out figures expecting about a 1.2 times dividend coverage for MB in 2015 and 2016. And then on the revised terms I think cash available after dividends comes in slightly lower. So could you just give us some color on how to think about the maybe new Access coverage over the next couple of years and any other puts and takes there?
Don Chappel: In terms of the 1.2 times we boosted the initial distribution I think before we said at least 349, we decided to go with 365, so quite a higher initial distribution there, that reduced the coverage a bit but the coverage is still well north of 1.1 times. And in terms of the transaction, we shifted coverage from Williams to the merged partnership. We thought that was the right thing to do to create the kind of valuation and the partnership to make it the lead entity to move Williams to a pure play GP HoldCo. So we shifted the coverage to WPZ again over that three year period, took the coverage down at Williams but nonetheless we still have over $300 million of cash coverage just in 2015 and 2016 really with no real need for that capital. It is nice to have, and I'm sure we will find a value adding use for it, but nonetheless rather than run 1.2 times coverage at Williams without a clear need for the excess coverage or having double coverage, in fact, with the partnership having coverage and Williams having coverage, we didn't see that adding value. So really shifted coverage to be very substantial at the partnership with again the industry leading growth rate for large cap MLPs and taking the coverage down at Williams to a level that we think is appropriate.
Operator: And now we will go to Brad Olsen with TPH.
Brad Olsen – TPH: I would like to focus on the macro and maybe follow on some of the questions that Christine had about the pipe project out of the Northeast. Obviously you guys are in a pretty unique position having multiple large scale projects currently out in the mark for producers in the northeast and when you look at all of the different markets that Transco searches do you have a feel -- is there a specific market where either producers feel that they don't have enough access to or the consumers in that market don't feel as though they have enough access to northeast production growth? Just trying to get a feel for as you fill the pipe with all this gas where is it actually going to head and where is there economically the most pull for that gas?
Alan Armstrong: I would just tell you that the amount of new gas-fired power generation obviously in the southeast is a major issue as that area converts off of coal, if you follow some of the commentary from folks like Southern Company. I think one of their big concerns has been whether there would be adequate infrastructure built out in time, and reliable infrastructure to serve their power generation loads. And so I think this project helps answer some of that frankly. As well, we’re continuing to see obviously a lot it of folks wanting to get to spots where they can deliver to LNG contracts, and by getting all the way to station 65 with this gas, that option becomes available as well. And then, of course, we also have like the large methanol project that Transco has contracted to serve just south of station 65 as well. And as well, all of the southeast from just a general load standpoint continues to grow and so we see that continuing in those regions as well. So many projects like the Dalton Lateral for instance, are projects that need supply. And demonstrate the growing markets, the (indiscernible) expansion to serve Sabal Trail. I will just tell you Transco is winding up being the big high-pressure header that's right in the middle of all the market growth, and people realize that, and they want to be there, not just to serve any one particular market but to have the options of going to where that market growth is. And so it is really a network value, if you will, where you have all the best supplies in the country trying to get in to places where the best marks are and that mutually attracts each other to being connected to that big header.
Brad Olsen – TPH: Even further south of 65 I know you guys have talked about potentially working with Pemex on the deep water projects that they're starting to pursue, but is there an opportunity maybe for Transco even in south Texas, where you have some existing infrastructure to participate in any of the tenders that either Pemex or CFE have out to import Eagle Ford and other gas supplies into northern Mexico?
Alan Armstrong: We have a relatively unique project. I would tell you that we have been working on and we’re not positioned to describe that just yet but we are pretty excited about it. And we think it's a very low-risk way of serving that growth in the market and we’re continuing on a nice trajectory to develop that project. But, yes we do have opportunities and yes we’re pursuing those.
Brad Olsen – TPH: And if we could flip to the ethane side of things, we've recently seen received (indiscernible) for their world-scale cracker and I think that rounds out six or seven crackers which are set to proceed. Interestingly we've seen ethane exports come out of is nowhere and gain quite a bit of steam as well. In light of these recent announcements, how does your view of ethane as feedstock change? I guess more directly, does potential tightening in the ethane market later this decade cause to you rethink what you might use for a feedstock on a second Geismar project, or does it give you pause about a second Geismar world-scale cracker in general?
Alan Armstrong: I would just say that we think there's a lot of ethane available with these growing gas supplies. However, what's not getting invested in actually right now is the infrastructure to be able to recover all that ethane and get it into all these points of consumption and obviously that's a business that we like, and one that we continue to have an eye towards in terms of how we play a critical role in distributing -- recovering and distributing all of that ethane. So I think, it's a very good question and it's at a time like this when the market seems to be awash in ethane, people are unwilling to invest in the infrastructure that it takes to get it recovered and into those markets, but we believe that just like what we are seeing on the gas side now where the demand is on the verge of really starting to grow pretty rapidly. We think the same thing will happen on the ethane side, but it is going to take quite a bit of infrastructure, and we are certainly working hard to plan that. We’re in the process of commissioning our Bayou Ethane project which extends ethane from Mont Belvieu over into Lake Charles area in Louisiana and ultimately connects into our system that gets ethane all the way over to the river, and so that's just an example of how we are positioning ourselves to be a solution to the problem that you describe which is going to eventually catch up with us.
Brad Olsen – TPH: And you mention the ethane pollution. Are there opportunities as we see the ethylene market potentially growing 30% or 40% with all these new crackers and Brownfield projects? Do you see opportunities on the Olefin transportation and storage side as well as on the ethane transportation and store?
John Dearborn: Absolutely we do in that we continue to promote our projects on the Gulf Coast around the transport of both propylene which today will be made from new sources like propane de hydro units, what is now Flynn Hills and down [ph] to new markets as well as some additional propylene splitters that will put new supplies on to that system. So that's one pipeline system that we are promoting. And then the second is what we call our project which is an ethylene pipeline which is intended to connect some of the major players on the ethylene side in order to bring some of the really more about reliability there. But as well give the opportunity to get ethylene into the hub where ethylene will be able to be traded well in that hub in order to be able to do some good price discovery of ethylene which is a service that Williams brought to the market in the last couple of years.
Operator: I will now go to Ted Durbin with Goldman Sachs.
Ted Durbin – Goldman Sachs: Some clean-up stuff here, the Canadian PDH sounds like you're close to FID there. Any sort of zip code on the capital involved there? Can you confirm that will be 100% fee based and then the kind of return you would be looking for?
Alan Armstrong: You know, until we take that to the board, Ted, and we've got an outside party involved in there as the customer and so I think until we get all that wrapped up we’re are not -- don't really want to be announcing any of those details just yet. But as you know we've continued to try to work that project in a way that it reduces our commodity exposure in that space is and we think we've found a nice way and a nice partner to accomplish that with.
Ted Durbin – Goldman Sachs: Okay. I wonder if you can just talk a little bit, looking out west here the implications of buying the 50% interest in Ruby. Do you think that helps at all your Pacific Connector project or should we really just look to sort of Jordan Coke [ph] going to FID?
Alan Armstrong: Well, I just think it non straits their confidence in the project and certainly they're the ones that have the very best seat at the table there. We certainly have worked alongside them and have our own internal perspective, but I would say anybody that's putting their money where their mouth is something you ought to pay attention to and they certainly have stepped up and done that.
Ted Durbin – Goldman Sachs: And then last one from me is just as you look at the deep water, any thoughts? We have seen some of the majors continue with the activity out there of another Gulfstar, more like the Keathley Canyon project. How is the outlook there?
Rory Miller: The timeline on making deep water infrastructure investments and I guess development of deepwater prospects is pretty long, usually it's a four to six-year cycle to get that started. So current price is not really too instructive about those decisions. There is a lot of what I would call pent up discoveries in the mill, if you will. A lot of discoveries have been made and they're slow going to sanctioning right now and that's predominantly, I think, because producers are waiting on that 20-K technology to be made available. I think the target is maybe sometime in the 2019, 2020 timeframe that the technology and the equipment will be ready. That's slowing things down a little bit more than the price of oil but we do think we’re going to have an opportunity in the next 12 to 24 months to deploy another Gulfstar, and as those project get broken loose we think we will be well-positioned. We haven't lost any interest in that. It's kind of 10 and the flow of the deepwater but most producers are looking out I think six years or so in terms of what the price is going to be at that time.
Operator: And our next question from Craig Shere with Tuohy Brothers.
Craig Shere – Tuohy Brothers: Picking up on Ted's question about Geismar 2, have you all given any more thought with Geismar 1 ramping up over the next couple of months possibly neutralizing the commodity risk there over the next year or two?
Alan Armstrong: Craig, we continue to look at that, and obviously what we’re trading off there is the high margin and the benefit we get from that versus the stability of fee based structure, and as well I would tell you we really would like to do a transaction that pulls all the way through our infrastructure. In other words, takes advantage of the ethane supplies and death that I know length that we’ve, our upstream business, and pulls that all the way to our own infrastructure. And so that would be our preference on how we would do that and provided we could make enough margin in the fee based side to help offset a large portion of that commodity margin. We would do that and so I would just tell you we are always weighing that balance internally, but it is a hard margin, especially given how strong the fundamentals are right now. It is a hard margin to give up, but we do continue to look at that and I would say it would probably come in the way of a fairly large structured transaction for us to get that because it would, as I have mentioned, would it involve trying to get the value chain all the way back through our access.
Craig Shere – Tuohy Brothers: Sounds like that's not anything imminent, maybe more like 2016 or beyond?
Alan Armstrong: It might come with contracting on Geismar 2 perhaps -- and perhaps a portion of that so it could come ahead of that.
Craig Shere – Tuohy Brothers: And picking up on Christine's questioning, with the MLP set to finalize the merger in just the next couple of months, have you had any formal discussions with customers about amending ACMP's cost of service arrangements to dove tail with WPZ's infrastructure in kind of a win-win manner?
Alan Armstrong: I would just say -- to answer your question directly is no, but I would say that we see a lot of opportunity. We've had some very encouraging meetings with the Chesapeake team and really honestly, pretty impressed, frankly, by the attitude that Doug Lawler is bringing to that and kind of a high trust relationship that we’re used to working in and one that we can really drive win-win solutions for each other in. And so while we don't have anything specific there, I would tell you I see a lot of opportunity between our companies to continue to expand our relationship in a way that's beneficial for both parties.
Craig Shere – Tuohy Brothers: And there has been some kind of strange trading between WPZ and ACMP since is you announced your finalized merger agreement. Can you discuss anything that would logically push this past the fourth quarter distribution record date, so that PZ would get the higher February payment versus the combined one?
Alan Armstrong: It's just a typical SEC process so we will file the S-4 within the next couple of weeks, then it's just a question of how quickly we get through the SEC. It could move very quickly or it could be a bit longer. So that's really the wild card. It's just really the SEC process for the S-4. As we indicated in our documents Williams has sufficient votes to ensure that the vote is in favor of the merger and in fact, we have already committed to vote in favor of the merger. So there is no doubt as to the outcome. So it is really just the SEC's S-4 clearance process.
Craig Shere – Tuohy Brothers: Last question, I think you have $275 million of outstanding unpaid insurance claims. Can you kind of give some more color about what the primary questioning is around this and to the degree you don't recover, what you had anticipated? Does the MLP just kind of chock that up to history, or does MB help out in any way?
Alan Armstrong: Craig, we’re vigorously pursuing the claim and we think we’ve a very strong claim. Obviously the insurers would like to pay less, so there's some level of debate. I don't think we want to go into the details, but certainly we’re actively engaged in the process. We and our insurers have now agreed to non-binding mediation in an effort to resolve differences and we’re going to begin that later in the month of November. As to what happens if WPZ falls short, it will just be a shortfall in the collection. It will be kind of a onetime item that I think and that's the way we look at it, really no other action that would be related to that. But again, we’re vigorously pursuing the claim and we will begin the mediation process in late November.
Operator: And now we will go to Carl Kirst with BMO Capital.
Carl Kirst – BMO Capital: Just maybe two quick areas of cleanup, Alan, if I first go back to Appalachian Connector, I'm just sort of curious with some of the competition that you’re seeing there, do you see any potential for either this project to move into -- or to have partners in the structure and similarly, do you expect any erosion or change perhaps in the economics from what you saw in Atlantic Sunrise as far as return on capital?
Alan Armstrong: I would answer the second one first. I think very similar kind of the targets of course a larger portion of this project is Greenfield in terms of the capital amount so we had a less leverage if you will off the existing system. So potentially, depending on the ultimate size potentially could be a little bit lower than what we enjoyed on Atlantic Sunrise just because that was pretty extraordinary, but still very attractive returns on the project. Secondly, I would say that the -- as to the partnership and arrangements there, we think we've got a good project going ahead and while there may be some partners that bring some strategic value to it that we would entertain right now. We would tell you we have a project that we think stands pretty well on its own at this point.
Carl Kirst – BMO Capital: I had just one quick follow-up on that, and I guess I ask this in the sense that all large infrastructure seems to be taking longer than expected to kind of get done these days. And so I'm just curious when you all work backwards from a potential late 2018 (indiscernible), when do you feel like you need to basically have shippers locked up I mean as far as whether you’re getting to the present agreements or following it with a binding open season? When do you kind of have to have that in hand do you think?
Alan Armstrong: I would just tell you we’re in the stage of negotiating those agreements and making great progress on that and obviously the quicker we get them done, the less risk we’ve on the timing. But I would tell you we've got a very sober viewpoint out there these days on what it takes to get these projects built and we've got that built into our perspective. But having said that, we can't spend six months getting the agreements negotiated, so I would say it's more -- a couple months to get this done within our expectations. Again, I think the appetite that we’re seeing, I think that's very doable at this point.
Carl Kirst – BMO Capital: And then last quick question, just maybe turning to Canada, and this is really more on the base off gas and the processing and I think you actually mentioned some of the coker outages at Suncor and it looked like there was maybe been maintenance at Redwater, I think you said (indiscernible). I guess maybe my question is that do you’ve a sense of what the missed opportunity cost was in the quarter from those outages from the lower equity NGLs? I think you mentioned Geismar for instance being $200 million. I didn't know if you had a similar analog for the Canadian side.
John Dearborn: If I could just make a few comments though about how things are going up in Canada. First of all we have invested mightily over the last year in reliability up in Canada so we’re poised to take as much gas as our partner is ready to deliver to us at that facility. In fact, we've made some improvement projects that perhaps might allow it to be higher than our earlier expectations. Secondly, in terms of operational discipline in this last turnaround, we actually got through this turnaround slightly less time than we originally planned. We accomplished a 100% of the tie-ins that we wanted to accomplish during the turnaround and came in slightly under budget. So now that the answer to your question is probably about $20 million in missed opportunity in Canada this quarter. Against what would be operations at full capacity receiving all the gas that we could from our partner.
Operator: Our next question is from Sharon Lui with Wells Fargo.
Sharon Lui – Wells Fargo: Just following up on your previous comments, have you tried to quantify some of the commercial opportunities you expect to realize and what type of upside that represents to maybe 2015 guidance for the merged MLP?
Alan Armstrong: The only thing that we've put out there, Sharon obviously, is that the merged MLP of $50 million savings and I would tell you we think that's very achievable at this point. And we really haven't though put a number to the commercial side and I would tell you some of it will be pretty hard to characterize. For instance, if we’re able to pick up volumes and develop a project like Atlantic Connector based on some of those synergies, that's a longer term value proposition but nevertheless valuable. And so we haven't really put any kind of numbers to the commercial side of that yet and as I said it's such a fluid situation in terms of customer responses and so forth, that's going to be pretty hard for us to quantify. But we’re certainly excited what we’re seeing, and Jim Scheel and John Seldenrust, John runs that area for ACMP, are working closely together to capture a lot of those and I think both of them are pretty impressed with the amount of opportunities that we’re seeing.
Sharon Lui – Wells Fargo: And just one last one from me, for the drop down of the remaining Canadian assets is there a specific reason why the drop would occur to WPZ versus the merged entity in 2015?
Don Chappel: Sharon, this could go either way, it's our expectation. We'll likely drop it to WPZ. It will likely happen just prior to the merger but it could happen concurrent with the merger, but it's something that we've got some flexibility on, but it's likely going to be first of the year.
Operator: And we will go to Timm Schneider with ISI Group.
Timm Schneider – ISI Group: Quick one from me, so I think it was two weeks ago or so Sunday night, a report hits Bloomberg, Williams amongst bidders for a competitors Rockies, gathering processing system. Obviously not expecting you guys to comment on that transaction, what I'm interested in is what's your appetite for acquisitions at this point? What are you guys kind of seeing? And then specifically how do you balance that with kind of working through what you already have on your plate and then follow-up on that is how do you guys look at your securities as currency in this environment?
Alan Armstrong: I would just tell you, Timm, as we've said all along, we’re always interested in acquisitions that are write-down or ally in terms of being strategic and in areas that further strengthen our hand, but we’re not interested in just doing (indiscernible) acquisitions that aren't additive to our strategy. And so I would just say we’re going to be very selective, but given the large footprint that we have there is a number of project that would add a lot of synergies. I would even suggest something like QEP. Not surprising to me that somebody assumed we would be the buyer because I would tell you we would be a pretty good buyer for those assets just given the synergies that we’ve in the area. And so we will certainly be keeping our eyes open as to the equity value. I would tell you obviously we've demonstrated we think we’re really undervalued substantially right now, but we think that will correct itself in the not too distant future. So we’re going to be pretty stingy with our equity obviously when it's valued like it is right now but we do have our eyes open and we do have other financing means given the strong step-up in cash flows that we've got coming our way.
Operator: And we will go to Chris Sighinolfi with Jefferies.
Chris Sighinolfi – Jefferies: Just want to follow-up on some of Carl's questions on Canada. John, curious if you talked about or Alan talked about the Redwater outage, Suncor downtime you gave some color on the impacts of the quarter. Just wondering where we stand right now? Are there any outages of that nature we ought to be thinking about on a go forward that would be sort of profiling over the next 4 or 5 quarters and then as you sort of assessed the operations up there given some of these disruptions do you still feel comfortable about the segment profit target that you had previously given for next year? I think it was kind of 170 to 210 range?
Alan Armstrong: You've asked a lot in that question, so let's take it piece by piece. Looking forward into next year in the fourth quarter, late third quarter – fourth quarter, obviously we've got to finish up the tie-ins for the horizon project which will be coming on-line. So we can expect there will be some outage during that time. We try and minimize the impact of these outages by continuing -- we keep our wells as dry as possible ahead of the outages so that we keep the gas, or the liquids flowing out of the LEP unit up at Fort McMurray for as long as practical. We minimize the impact. So that's I think where we’re there. And then to the second point as to how do we increase, and perhaps I would ask the question a little differently, how do we increase the reliability of the gas flow. We’re spending an enormous amount of effort and time in collaboration with Suncor to help both solve some of their problems which they have some real problems that need to be solved at their plant as well as to obviously assist them in getting more gas to our plant. Until we have multiple sources of gas getting to our plants, multiple sources of liquids, I think we are always going to be beholden to the reliability of our single supplier there. So I guess -- I don't want to give the excuse it's out of our control, because we want to work with Suncor in maximizing our opportunities at this stage but until we have the multiple sources I think we’re going to have the risk of the single source of supply in front of us.
Chris Sighinolfi – Jefferies: I think sticking with Canada for a moment, but shifting to Don, wondering about the pending drop-down of the projects up there given I guess, the fact that they're in-progress opportunities largely. Wondering if you could sort of help us think about the potential multiple we might expect there. Obviously nothing specific but we've seen in-progress opportunities be dropped at book value, some companies talk about sort of flywheel effects that are generated from those in-progress opportunities and sort of expand them. So I'm just wondering your thinking now, the Board's thinking about the Canadian opportunities in light of some of the challenges we've seen up there as of late.
Don Chappel: Chris, what we’re thinking is that the aggregate portfolio of assets, both the project we mentioned as well as a variety of other prospective projects would include includes the Syncrude prospect, the Canadian PDH, Geismar 2 and the Gulf Coast pipelines, they're all held by Williams NGL & Petchem Services, it would be dropped together and we would drop those at about invested capital, so book value if you will and that was part of our I will say negotiations as part of our merger.
Chris Sighinolfi – Jefferies: One more question from me real quickly. You've had some questions obviously in this call and I think, Timm hit on it with acquisitions and what not but, Alan just curious, how do you think about the IG rating, the surplus cash your projecting over the next couple of years? It does appear you have retained a lot of financial flexibility if the execution matches the plan. You know you're slides indicated, you’ve stated on the call. You don’t think you’re being paid for the distribution and growth that you're projecting right now. So I'm just wondering given that, are you likely to accelerate any of those growth projections or is there -- if more head room comes available or would you rather sort of add coverage, keep optionality on the table as you think about potential acquisitions that might come, additional project that might come, any color on that would be helpful in regarding your priorities.
Alan Armstrong: I would just say that we do think we’re not being valued for the growth at either the MLP or at the parent level right now and frankly, I think that's to be understood given the outage at Geismar and some of the risks around that and some of these major projects that we’re bringing on-line. And so I think now as those issues are cured, I think we could see a pretty big step-up on that. So I would just tell you, we’re pretty energized about how our strategy is playing out. We think there is a lot of acquisition opportunities that would be dead in-line with our strategy and continuing to strengthen that. And certainly with the major footprint that we have now with the combination of Access and WPZ, there is just more opportunities out in front of us that we are the right buyer for. So I would tell you, I think we’re in a pretty offensive posture, but I would say two things, tamp that a little bit. One, of course, is that we do need to see our equities valued properly and two, when you've got such a tremendous growth in your cash flows built into your model and you're running accretion analysis, You’ve got a big step to climb there to be accretive against such a terrific growth pattern that we already have. So it's great problem to have when your base business is growing so strong to look at these acquisitions. But at the end of the day we’re very focused on our vision of being the player in this natural gas space on the infrastructure side and we’re going to stay committed to that vision but do it in a financially prudent manner.
Operator: And now we will take our last question from Jeremy Tonet with JPMorgan.
Jeremy Tonet – JPMorgan: Just one small question follow-up here at the end, I was just wondering if you look back towards the end of the data back and you have segment profit guidance reported to adjusted on slide 103, just looking at the 2015 guidance it seems like there is an item in the northeast GMP of $136 million. And I apologize if I missed it, but could you just provide some color on what the item is?
John Porter: Yes that was an item that we had in the fourth quarter of 2014 that we discussed on our second quarter call that has now been moved into 2015. We haven't given specific details around that but it was an item that we were expecting to come through our GAAP earnings and felt like it should be adjusted out. It's contingent type item.
Operator: This concludes today's question and answer session. Mr. Alan Armstrong at this time I would like to turn the conference back to you for any additional or closing remarks.
Alan Armstrong: Great. Thank you very much. Well, as you can see, this growth is right on the verge of here at WPZ. ACMP continues to perform extremely well and the combination of these two great organizations is something to be very excited about. However, as we think about all of this growth, I think one thing I want to recognize to our investor base here is the tremendous amount of toil and effort that goes on by these teams that are bringing these big projects in. It is not an easy job these days to work these projects and do it in a safe manner and there is all kinds of hurdles that are constantly facing these big projects and these teams have stayed with it and done their work in a safe and reliable manner and I just want to say a big thanks because of all these great rewards that we’re able to offer back to our shareholders are really coming through the efforts of our great operating teams and our project management teams. So I want to recognize the great effort that's going on there. So with that, thank you all very much for joining. Appreciate, as always, the great questions and we’re really looking forward to really seeing this major powerhouse really starting to take off. Thank you very much.
Operator: This does conclude today's conference. Thank you for your participation.